Operator: Good day, everyone and welcome to the salesforce.com Third Quarter 2006 Financial Conference Call.  As a reminder, today’s call is being recorded.  For opening remarks and introductions, I would like to turn the call over to Mr. David Hevlick (ph), Vice President of Investor Relations for salesforce.com.  Please go ahead, sir.
David Hevlick: Thanks, Patty.  I’d like to welcome everyone to salesforce.com’s third quarter fiscal year 2006 earnings release conference call.  Joining me today are CEO and Chairman, Marc Benioff and CFO, Steve Cakebread.  Marc will begin today’s discussion with a brief review of our third quarter performance and update you on some of our key achievements.  Steve will then review the key financial metrics for Q3 before discussing our outlook for Q4 and for fiscal year ‘07.  Following our prepared remarks, we will open things up for your Q&A. Before we get started today, let me quickly take care of a few formalities.  First, during our discussion today, we may reference certain non-GAAP measures.  A reconciliation of GAAP and non-GAAP results is available in the earnings press release issued earlier today and filed on Form 8-K with the SEC.  The press release contains a complete review of our financial performance for Q3.  Additional financial information beyond what is provided in the press release may be found on our website. Second, today’s call is being webcast, and a replay will be available shortly following the conclusion of the call through November 30.  To access the press release, the financial detail, or the webcast replay, please consult our Investor Relations website at www.salesforce.com/investor. And finally, it wouldn’t be an earnings call without a Safe Harbor statement.  To that end, the primary purpose of today’s call is to provide you with information regarding our third quarter fiscal year 2006 performance.  However, some of our discussions or responses to your questions will contain forward-looking statements regarding our projected financial results and operating metrics, business strategy, the timing of future services, product or platform releases and their capabilities, demand for on-demand services generally or our products or application-sharing platform specifically, anticipated growth, market opportunities, expected implementation of our services by certain customers, datacenter capacity, the decline of the enterprise application market, or other business-related topics. These statements are subject to risks, uncertainties and assumptions.  And if such risks or uncertainties materialize or our assumptions prove to be incorrect, actual company results could differ materially from these forward-looking statements.  These risks, uncertainties and assumptions as well as other information on potential factors that could affect our financial results are included in our reports filed with the Securities and Exchange Commission, including our Form 10-Q for the period ended July 31, 2005 and our Form 10-K for the fiscal year ended January 31, 2005, both of which are also available on our IR website. Please be reminded that any unreleased services or features referenced in today’s discussion or other public statements are not currently available and may not be delivered on time or at all.  Customers who purchase our services should make the purchase decision based upon features that are currently available. With those formalities behind us, let me turn the call over to Marc.
Marc Benioff: Thanks, David.  Good afternoon, everyone, and welcome to our third quarter earnings call.  Our third quarter results were yet another indication that the end of software is upon us, and the market is clearly moving towards salesforce.com.  During the quarter, we introduced a game-changing strategy, witnessed the capitulation of a long time rival, and saw the dominant force in technology attempt to mimic our model in an effort to catch up.  And we did this while executing against ambitious goals for both customer success and financial performance. Let me begin with some financial highlights from the quarter.  Our fiscal third quarter revenue was $82.7 million, representing a sequential increase of 15% and a year-over-year increase of 78%.  This was an excellent performance by any standard and better than our expectations coming into the quarter.  We continued to grow at a faster pace than any sizable software company or any vendor who considers themselves a competitor to salesforce.com.  More importantly, we now believe we are the third largest independent provider of on-demand business applications in the world. Net income grew to roughly $13.1 million, benefited in part by a one-time tax adjustment that Steve will discuss in a moment.  Even without the adjustment non-GAAP earnings per share of $0.05 was above the outlook we provided you at the beginning of the quarter.  On the customer front, Q3 was another excellent quarter.  We added roughly 1,800 customers for a total of approximately 18,700 worldwide.  This represents a 50% increase from Q3 of last year. Equally impressive, paying subscriber account grew to approximately 351,000, up about 43,000 from last quarter and up roughly a 156,000 from Q3 of last year.  To put our performance in perspective, we added more than eight times as many on-demand subscribers this quarter as our closest competitor did in this most recently announced quarter.  This performance was not the result of a few big deals.  Instead, the broad adoption of web-based services by customers of all kinds combined with our leading technology and brand led to another outstanding quarter of subscriber additions, driven by the need for IT solutions that offer a greater return on investment, shorter development times, and superior flexibility and integration.  The transition of customers in the on-demand model is currently is increasingly rapid pace. In addition to the growing adoption of on-demand services, our subscriber growth this quarter was fueled by three major customer groups.  First, our add-on business with an existing account’s was particularly strong this quarter, reflecting our continued focus on customer success.  At Corporate Express for example, total paying subscribers grew to more than 3,500 during the quarter, up from 3,000 at the end of last quarter.  They started with our Salesforce SFA service and are now using Salesforce service and support to help them manage their roughly 300,000 customer requests they get each month. In addition, in Q2, we announced a large Bay Area technology company, had joined us for about 2,000 subscribers.  I am pleased to announce today that salesforce.com has expanded its contract with this company, which we can now disclose was Symantec Corporation.  They selected salesforce.com because it provided them the platform they needed to quickly and cost effectively integrates Veritas in Symantec’s sales organization.  And they now have approximately 3,900 subscribers with salesforce.com. We also continue to see growth in many of our other major marquis accounts.  In fact, ADP now has over 6,100 subscribers, up from approximately 5,200 subscribers in the previous quarter.  And Cisco ended the quarter at roughly 2,500 subscribers.  Air Products and SunTrust Bank also added users during the quarter. Second, we again added a significant number of large customers this quarter.  In Europe, ALD Automotive, a division of Societe Generale and one of Europe’s largest automobile fleet management providers, selected salesforce.com for 1,100 professionals in 26 countries.  ALD plans to take full advantage of the new AppExchange platform for customization and integration. We also won substantial implementations with Symbol Technology and Option One Mortgage that together represented more than 1,600 subscribers. And just as important as these large deals, we added a significant number of major accounts, where the initial purchase size represents only a small fraction of what the ultimate size of the account could be as we prove our value over time.  And of course, these deals would include companies like ADC, Alltel, Deutsche Bank, and Lawson Software, which together represent more than 1,900 new subscribers for the quarter. And finally, we had another excellent quarter in the small and medium business segments of our business.  Despite adding roughly the same number of subscribers as last quarter, our 1,800 new customers were a full 200 more than the 1,600 we added in the second quarter.  The SMB market remains a large and relatively untapped market opportunity, and we are very excited about our SMB customers as well as our very large enterprise customers. All of this customer subscriber growth is translating into tremendous growth in the usage of our applications.  This quarter, we delivered roughly 1.9 billion transactions, up almost 50% from the roughly 1.3 billion transactions we delivered in the second quarter.  And more than 45% of our transactions were API calls; that is computers calling our computer for information, an indication of how our web services transparently interact with other legacy applications.  We believe that adoption is going to create usage, and usage is going to create loyalty.  And we are continuing to watch these measures with great interest. We also saw evidence that the on-demand revolution is gaining momentum at our events.  I’m sure many of you attended our Dreamforce User Conference.  And the response from all of you, including our customers, ISVs and partners was tremendous, with over 3,000 attending Dreamforce this year in San Francisco at Moscone Center. And without question, the biggest news coming out of Dreamforce was the announcement of the AppExchange, our groundbreaking new application-sharing platform which you can find at www.appexchange.com.  The AppExchange is nothing less than a revolution in the way that applications are developed, distributed and deployed.  And it is undoubtedly the most exciting thing I’ve ever worked on.  More importantly, it represents the key to fulfilling our goal of managing and sharing all corporate information on-demand.  And longer-term, we believe it represents another level to fuel our industry leading growth. Like so many of our innovations, the AppExchange was inspired by the creativity of our customers.  Using the customization capabilities of our platform, they built entirely new apps that went way beyond CRM.  And for those of you who have taken a look inside AppExchange, you will find applications for things like product management and project management, human resources and others.  And we’re seeing a lot of creativity in the AppExchange.  Frankly, we needed a way for customers, partners and other publishers to save these applications and publish them to a directory.  That directory is the AppExchange, an online marketplace and ecosystem if you will, that lets our customers browse and try new applications written for our platform. Customers benefit from a single database, security and sharing model and the easy-to-use interface that they already love.  ISVs benefit from the dramatically easier product development cycles and a virtually frictionless go-to-market strategy.  The response from customers and developers has already been amazing.  What we hear is that in the same way that we democratized access to enterprise applications, we are also democratizing access to development and also providing that same democratization to distribution. Now while the AppExchange product won’t go live until the fourth quarter, we have 85 applications already available, up from the 70 applications we announced at Dreamforce.  But more importantly, customers already trying out the applications, during our test drive feature is really exciting to us.  At Dreamforce alone, we had over 10,000 test drives.  And all of the applications listed in the directory were tested by users.  By the end of the third quarter, customers had taken more than, an additional 22,000 or 32,000 total test drives of our AppExchange applications.  And remember, this product doesn’t go live until our fiscal fourth quarter.  But these customers are not only experiencing the AppExchange applications, but they’re getting inspired through their own creativity by seeing so many examples of different types of applications that they can now deploy even on their own with our platform. Also in the quarter, we launched a major upgrade to Salesforce Service and Support, which we introduced previously as Supportforce a little over a year ago.  And this product aimed at the customer service applications market is already showing strong acceptance in the marketplace.  And with over 15 new features and an AJAX based Agent Console that reduces page clicks by, per task by 50%, the new product is drawing rave reviews. Our services launch also introduced the introduction of AppExchange Service and Support, which will feature 22 new applications for our platform, for the service and support marketplace.  Now this extends our core functionality with all kinds of new functionality of some that we’ve created and a lot of, that’s been created by third parties.  We see this as an ideal way for our partners to extend the value of Salesforce Service and Support and for our customers to share best practices with just a few clicks. During our third quarter, we also made tremendous enhancements to the operational capabilities of our Company.  First, we are very fortunate this quarter to have added some of the industry’s top talent to our management team and also to our Board of Directors.  John Freeland joined us as President of Worldwide Operations and is overseen currently our services, support training, alliances and customer success management organizations on a worldwide basis.  Previously for the past 26 years, John has been leading a variety of critical Accenture businesses, most recently Accenture’s $4 billion a year, CRM practice with I think approximately 4,000 CRM consultants.  John is bringing tremendous experience to our management team and we are just delighted to have him on board with us. Steve Russell has joined us now as President of our Asia-Pacific region based out of Singapore.  Steve is bringing more than 25 years of senior management experience in the Asia-Pacific market.  And he is strategizing our expansion into new Asian markets, including China. And in addition, we also expanded our board this quarter by bringing two new board members in, and that brings our total board membership up to eight members, seven of whom are fully independent.  Joining our Board this quarter were, Craig Conway, the former CEO of PeopleSoft and Shirley Young, who is a highly experienced director based out of Shanghai.  They bring and add experience and background in our already outstanding group of Board members. The second operational area where we made real progress during the quarter was in our datacenter infrastructure build-out.  At Dreamforce, we announced our plans to build and entirely new datacenter architecture to run salesforce.com and our new platform in the AppExchange.  And we are planning now to build two production datacenters in the US via our Mirrorforce program.  Well first of all, I am extremely pleased to report that Phase I of this project is now complete.  The cutover last Saturday from our old datacenter to our new California datacenter went exactly according to plan.  And customers experienced virtually no unplanned downtimes during the transition.  This was a significant technology accomplishment. With the completion of our Phase II East Coast datacenter in the next few months, we’ll have the infrastructure redundancy necessary to revive virtual real-time failover and the capacity necessary to support our amazing growth.  Personally, I just was at our Northern Virginia datacenter on the East Coast, which is getting ready to come live.  And this datacenter combined with our new Northern California datacenter are state-of-the-art datacenters, offering our customers perhaps some of the very, very best infrastructure for running their businesses. Saturday’s near-perfect transition was the combination of months of planning and hard work by our technical teams worldwide.  And I’d like to give special thanks to my Co-Founder, Parker Harris, as well as our Vice President of Infrastructure, Chris Almondkrober (ph), and his entire team for a job well done.  I’d also like to thank all of our core architects and executives, who have been so instrumental in running this and delivering such an outstanding result to our customers. In summary, third quarter was an outstanding quarter.  The on-demand revolution is continuing to gain momentum, and our results show that we remain the clear market leader for on-demand solutions.  At the same time, we’re making the right investments in people and technology to extend that leadership position going forward. With that, let me turn things over to Steve for a more detailed review of our financial performance this quarter.
Steve Cakebread: Thanks, Marc.  Good afternoon, everyone and thanks for joining us today.  Let me begin by providing you some detail on our revenue and subscriber performance for the quarter.  The third quarter company revenue of $82.7 million was up 78% year-over-year and 15% sequentially.  In North America, revenue grew 78% from a year-ago quarter to $66 million; this represents 14% sequential growth.  European revenue of $11.4 million was up 73% year-over-year and 13% sequentially.  Revenue on Asia-Pacific including Japan doubled from last year to 5.3 million and up 26% from Q2. Subscription and Support revenue continued its torrid growth in Q3, ending the quarter at $74.4 million, this represents growth of 79% from last year and 13% over Q2.  This outstanding performance was due in large part to our exceptionally strong Q1, Q2 subscriber additions as well as another great subscriber quarter in Q3.  As Marc already discussed, subscriber growth this quarter was remarkable.  We added roughly 43,000 new subscribers, and our current subscriber total of approximately 351,000 is 80% more than we had just a year ago. Let me take a moment to discuss some of the drivers behind this growth.  First, as Marc noted, our focus on customer satisfaction continues to yield dividends in the form of growth within existing accounts.  This is the cornerstone of our model, and it’s really gratifying to see existing customers expand the relationship with us.  Our ability to expand subscriber accounts within existing customers is why I am enthusiastic about the large number of midsized deals at major accounts we saw this quarter. Second, our performance was very strong across all customer sized businesses.  This quarter, we saw particularly strong performance in the SMB marketplace.  This cross business strength really demonstrates the resiliency of our model.  One quarter, we see exceptional growth in enterprise.  The next quarter, we see exceptional growth in small business and so on.  The net result is a diversified model that allows us to continue to grow at these levels without specific reliance on any one business segment. And finally, our momentum in the enterprise continued in Q3 albeit in a slightly different fashion.  While we did sign several large deals during the quarter, we saw real strength in deals 3 to 500 subscribers at major accounts. And then finally, a couple comments about subscribers.  As I’ve said in the past, forecasting subscriber growth on a quarterly basis is by no means an exact science.  Predicting the timing of major account additions or subscriber additions within existing accounts is challenging.  For this reason, we’ll continue to see some volatility in our sub numbers quarter to quarter.  However, remember that while our reported subscriber number is an important indicator of future performance, it has little impact on our near-term revenue and profit performance.  Because we recognize subscription revenue on a daily basis, there is virtually no difference in our quarter-to-quarter revenue performance if a deal is booked in the last week of a quarter or the first week of the next quarter.  And yet, that booking does impact reported subscriber number and thus calculated average revenue per subscriber. Similarly, while enterprise deals are essential to our long-term business objectives, our quarterly results are not driven by any single account.  To put that in context, consider that our largest customer represents less than 3% of our total subscriber account.  And as we add more and more subscribers, the relative size of each account gets smaller not larger. Now, on to professional services.  Third quarter revenue of 8.3 million was up 69% year-over-year and 31% sequentially.  As you know, we have been adding a number of headcounts for professional services organizations, and that was the primary driver of the sequential jump in revenue we saw this quarter.  As Marc noted earlier, we’ve added John Freeland to the management team to help us grow this business more profitably going forward. On to the P&L.  Overall gross margin for the quarter was 76%, down 1 point from Q2 and 5 points from last year.  Primary driver for the decline is the investments in people and technology we have been discussing with you the past couple quarters.  Subscription margins continue to reflect the incremental IT investments we have made to support our Mirrorforce datacenter initiatives.  And remember, this was a large investment in hardware and software, most of which had cost of sales in the form of lease costs.  Since the ramp-up in cost was essentially a step function increase, subscription margins were impacted.  These investments have resulted in increased delivery costs of 2.5 million sequentially and 4.6 million versus the prior year. Professional services margins improved this quarter, but we still have a lot of work to do here to get these margins where they need to be.  We are still growing headcount, adding technical capabilities where it’s needed most to support some of our large implementations.  And also as I mentioned to you last quarter, some professional services revenue is amortized into future quarters per EITF-0021, and this caused us some near-term margin pressure.  In that context while we are focused on improving billing efficiency, I do expect margin pressure to continue. Operating expenses included sales, marketing, G&A and R&D ended up 10% sequentially and 59% year over year.  OpEx now stands at 68% of revenues.  The biggest increase was in R&D expenses, which rose a 168% year over year and 21% versus Q2.  In addition to normal growth in R&D this quarter, the creation of a new development datacenter in San Francisco pushed R&D costs higher.  I am comfortable with the R&D spend, especially given the critical nature of R&D to our goal of leading in the on-demand data management business. Sales and marketing expenses grew 9% sequentially, primarily the result of geographic expansion of our sales organization and the number of marketing events that Marc described earlier. And finally, G&A costs rose by 7% sequentially and 47% versus the prior year.  The primary driver of this growth is again related to our need for local presence to support our rapid business expansion. Operating income for the quarter was approximately $6.4 million, this despite the mild pressure on gross margins that I described earlier, solid expense management allowed operating margins to improve to approximately 7.7% or more than double our year-over-year result of roughly 3.8% and up 1.9 points from Q2. Turning to taxes.  As Marc noted in his comments, we had a favorable tax adjustment this quarter that resulted in roughly $6.8 million of additional income.  As you know, we’ve never recognized any deferred tax assets in our financial statements.  And the value of net operating loss, carry forwards and temporary differences have historically been fully reserved.  Because we have been able to demonstrate sustained profitability and we believe that we realized these deferred tax assets in specific taxing jurisdictions, we’re now required to reverse some of this valuation allowance.  Net of the effect of that reversal, our tax rate would have been 20% for the third quarter, just as it was in Q1 and Q2.  Because the valuation allowance has been reversed, we also saw a large deferred tax asset appear in our balance sheet.  And although this event had been anticipated, there is no way to predict exactly when the valuation allowance would be reversed prior to this quarter. As Marc indicated, the net effect of this adjustment was to add roughly $0.06 to our reported EPS.  And I will give you some more color on our tax expectations in our outlook as I address Q4 and FY ‘07 expectations. Headcount, before I go to the balance sheet, I want to tell you that we exited our quarter with 1,116 people, up 57 from Q2.  This ramp was smaller than the 183 people we added in Q2.  But with so many hires in the second quarter, we felt it prudent to slow down the hiring a bit so that we could assimilate those people into our respective organizations.  However, looking ahead, we are planning to increase our hiring of both quota-carrying and infrastructure headcount to support our business growth again. On the balance sheet, we close the quarter with $256.9 million in cash, cash equipments and marketable securities.  This was up from 232.7 million in Q2 and 205 million at the beginning of the year, reflecting another strong operating quarter in Q3.  Accounts receivable grew a 6% sequentially to 53.4 million.  And in context of our reported and deferred revenue growth for the same period, this was an excellent result. Reflecting our continued strong sales performance deferred revenue ended up the quarter at 127.1 million, up 8% sequentially and 71% year-over-year.  And it’s also worth noting that the valuation allowance reversal that I commented on earlier resulted in roughly $6 million in deferred tax assets appearing on our balance sheet. Turning to cash generation, Q3 was a record cash flow quarter with cash generated from operations coming in at approximately 24.6 million.  Continued growth in our business combined with excellent management of our fundamentals contributed to this record performance. Let me close my remarks by providing some detail on our outlook for the remainder of this year and a glimpse into fiscal year 2007.  First, Q4 FY ‘06, on the top line, the subscriber growth we’ve seen in the last several quarters will continue to push subscription revenues higher as we exit the year.  However, after growing our professional services revenue by roughly $2 million sequentially in Q3, I expect Q4 ProServ revenues to be roughly flat; this primarily reflects the seasonal effects of holidays on the services business. From an operating margin perspective, higher subscription revenue will be offset by continued increases in delivery costs related to plan completion of our Mirrorforce datacenter transition.  And in addition, after adding a 183 people in Q2, we added just 57 people in Q3.  We are turning the hiring engine back on.  So this quarter, expect hiring to be much more like Q2.  And finally, Q4 will be heavier in customer events with our winter ‘06 launch and an increase in our city tour activity. Tax rates should return to first-half levels or roughly 20%, and share count is expected to be 120 million shares for the quarter.  Given all these dynamics, we now expect fourth-quarter revenue in the range of $88 million to $90 million and GAAP, EPS in the range of $0.02 to $0.04. Let’s take a look at our preliminary outlook for fiscal year ‘07, and keep in mind we’ve just started the budgeting process, so these are fairly preliminary.  And we will do a more detailed outlook on our Q4 earnings call, but I wanted to give you a brief update today. Given the strong subscriber growth and the acceleration in the transition to on-demand that Marc discussed, we remain optimistic about our core subscription business.  And our recent investments in professional services personnel should benefit those businesses heading into next year as well.  As such, we now expect fiscal year ‘07 revenue in the range of $460 million to $465 million.  Gross margin should improve slightly as we then begin to leverage our Mirrorforce investments across a larger revenue base and we improve our services business. Remember too that we are in a high-growth phase of our business, and we will continue to invest in sales, infrastructure and delivery to bolster our leadership position in the fast evolving on-demand market.  As a result, we now expect as well our effective tax rate to rise to 45% in fiscal year ‘07 and project an average share count for the year of 123 million shares.  Given these effects, we now expect non-GAAP earnings to be in the range of $0.20 to $0.22 next year, keeping in mind that these projections do not include the cost of expensing options, which will commence in Q1.  And I will have more to say about stock option expense next quarter. Summing up, Q3 was an excellent quarter.  We continue to make the necessary investments in people, technology and events to maintain our leadership position in the on-demand market.  And we did it without missing a beat on our growth or financial performance goals. At this time, I will turn things back to the operator, and we will open up the call for questions.  Thank you all very much.